Operator: Good evening. Welcome to the Séché Environnement call. [Operator Instructions] Over now to Baptiste Janiaud and Manuel Andersen to start the call. Let me tell you there's also a call in French. If you're listening to the English and French version, just click on the link under the video. Over to you.
Baptiste Janiaud: Thank you. Good evening to you all. Thank you for joining us for this call. Sorry for the slight delay owing to some technical issues on Teams. So we're going to present together with Manuel, the consolidated results of Séché Environnement for H1 2025, and then we'll discuss the outlook for 2025 and beyond. So to begin the highlights. Next slide, please. So H1 highlights. Overall, the group has maintained a dynamic growth, both in France and internationally in a more complex environment. After a good Q1, we have an acceleration of activity in Q2. Worth noting on activity, the successful integration of ECO that wasn't consolidated in H1 2024. So there's a scope effect with solid activity, EUR 37 million in revenue in line with H1 2024. No acceleration in activity to date with the implementation of the carbon incinerator. More about that in due course. On the historical scope, a basis of comparison that was low in H1, but a good operational and commercial performance, very sustained activity in services, remediation and urgency, overall, an increase in operational earnings in spite of the drop in energy prices. That's an important factor that will implement both H1 in '25 in the analysis and 2025 an uncertain geopolitical backdrop that is promoting a wait-and-see attitude by our clients, notably in the chemical sector, strong cash generation, financial flexibility that is significant, a return to the target leverage below 3. We indicated that to you when we presented the annual results and the outlook for 2025, we're in line with that target and then successful refinancing of the ECO acquisition achieved in March of this year. We will return to the targets for 2025 and 2026, but we have, nevertheless, some cyclical effects leading us to reduce the short-term increase in operating margins. As you know, we plan to improve by 1 point the EBITDA margin in 2025. Given the declining energy sale prices and overall of our economic prospects were rather expecting not to reach this improved 1 point increase in the EBITDA because of the macro. Planned acquisition of Groupe Flamme, that's a major strategic transaction announced a few months back on the market for hazardous waste in France. Manuel?
Manuel Andersen: Yes. By way of an example, during the course of the first quarter, we had some major successes, the Valo’Loire that kicked off this year. That's the metropolitan area of Nantes, the remediation of waste, LCA, that's a public contract we've been managing since 2012, an initial duration of 12 years that was renewed at the end of last year 2024 that kicked off first of it. There are 2 contracts. There's an operating contract of some 20 years, a contract totaling some EUR 180 million. So 20 years that, of course, strengthens the sustainability of non-hazardous waste in Western France, where we have strong positions in the circular economy and hazardous management. We're not on the right slide here, would appear -- here we are. So there's a second contract, which is a construction contract of some EUR 300 million to extend capacity, doubling energy output of the facility, notably in electricity. There's an SPV running the P2MBUILDCO, and we own 50.01% with our Paprec Energy France, who's the constructor of these new facilities. So we have secured the funding for this construction, half of it linked to subsidies and to the capital injection by shareholders and a bank loan of EUR 160 million, some fine commercial successes in services, as Baptiste mentioned, confirming the strong demand for environmental services, both internationally and France. That's linked to strengthened constraint, linked to the strengthened requirements for industrial activity and environmental and biodiversity protection. So this good performance affected all our service activities, comprehensive remediation and meeting environmental emergencies with the exceptions as we'll see of chemical cleanups of our Spanish subsidiary, Solarca. If I take industrial waters, STEI, our specialized affiliate, won some major successes with the commissioning of a biological waste facility of 7,000 cubic meters that will be operated by STEI near Valls. And of course, mobile units, RIOS, which includes the treatment of PFAS. Those of you who follow us on social media such as LinkedIn, we're able to see the details of these achievements. So we're pleased to see that STEI is progressing according to the road map set out that we mentioned. Remediation in terms of France and international activities that are driven by regulatory requirements in France, for example, we rehabilitated a beach in Brittany, that was a landfill that was threatened by rising water levels. It was a tricky operation, a very sensitive environmental area that was listed Natura 2000 constrained by tidal effects. With that, we found some asbestos content in some of the landfills containing household waste. That's based on requirements. This is to resolve certain coastline landfills, 110 landfills in France due to be resolved in order to protect the coastline. International, the Las Salinas project, that was a contract signed back in the summer of 2024 that contributed on that scope in terms of billings. It's the largest remediation project ever implemented by Séché Environnement that will run for 3 years. Environmental emergencies, that's a response to industrial accident, good level of activity, contrast with the, I'd say, the weakness of these businesses barely a year ago with also exceptional scope contracts. As an example of that, we have the Grand-Couronne site, they're meeting the consequences of a fire and industrial facility. That's the photograph that you see here, maybe rather small. It seems pretty apocalyptic, of lithium batteries, very reactive, highly flammable that polluted 6,000 square meters of this industrial facility. The work site ran for 17 weeks that was completed without incidents for the locals for our employees. And internationally, Spill Tech had strong activities, notably in marine pollution remediation activities. That's an example of a few major service contracts leading to a billing peak, notably in Q2. Refinancing, successful refinancing of the ECO acquisition. First new green bond for some EUR 400 million completed in July. But after the closing, of a tap of some EUR 70 million under the same conditions with an improved issuance price at 105% of the par value, total of EUR 470 million, improving our RCF revolving credit facility, thereby boosting our liquidity. Back to Baptiste.
Baptiste Janiaud: Well, thank you, Manuel, for those details. Let's move to the next slide, please. So the financial indicators contributed revenue EUR 580.1 million, up organically of over 7.5%. So that's dynamic growth, both in France, 7%. EBITDA coming in at EUR 118.2 million with an increase of the margin at 20.4% versus 17.5%. Last year, it's the same. Current operating income at EUR 49.1 million with a margin at 8.5% up. Net income group share doubled over the same period versus last year with very dynamic performance. Operating cash flow -- free operating cash flow coming in at EUR 63 million broadly similar to last year to reduce the net financial debt of the group going down EUR to 813.7 million reduction of the debt and financial leverage, taking into account the second half of '24 -- first half of '24 coming in at 2.9x EBITDA. Over now to Manuel for details of the revenue.
Manuel Andersen: We can even skip that one and arrive to -- on the next one. To take things in the order. We have a progress of 13.8% in relation to EUR 500 million last year. You know that this reported revenue includes a noncontributed revenue that includes rebuilding of IFRIC 12. Those are the investments we make on our concession assets. The amount is only EUR 0.6 million this year versus EUR 4 million last year. Last year, we still accounted for investments on the incinerator we have in Montauban as a concession, which is moved. Most of the noncontributed revenue is the TGAP, the tax we collect for the state and which we repay in October every year. Let's now look at the contributed revenue, EUR 580.1 million versus EUR 505 million last year, a very strong increase of 14.8%. Please note that the ForEx effect that is negligible with different evolution between the different currencies, but the amounts that offset one another, they're limited. Please note that even though that has no impact on the figures of H1, a degradation of the dollar -- Singaporean dollar parity versus euro in relation to last year, about 8%. The scope effect is EUR 37.1 million. That is the contribution of ECO, which you have seen in detailed in the previous table detailed by Baptiste. If you look at on a like-for-like basis, growth in revenue is 7.5%. It compares with '24 H1 that was weak, especially for services. Growth is quite balanced between the French and international scopes. As I said earlier, it is carried in France and abroad by the services sector, Spain notably. I will tell you more about it and also characterized by the drop in France of circular economy activities. This means that energy prices have kept going down in France, notably electricity and also the fact that some purification activities have also been reduced, meaning that some customers in the chemical sector are waiting. We will see that this is also true in Spain. Finally, we will see in the following slide that there is a sensible acceleration of growth in the second quarter. The second quarter has an organic growth of 8.9% versus 4.5%. In France, that comes from invoicing of some work sites. I'm thinking of Grand-Couronne, for example, which I've already alluded to. Internationally, the growth is more sustainable because it is linked to long-term service contract, notably in Latin America, comprehensive contracts, remediation contracts in Chile with an invoicing -- a peak in billing that adds up to the good quality of activities of Spill Tech in South Africa. Now that we are on this graph, I would like also to tell you about the very brisk activity in H2 '24. Regarding last year, ECO is now integrated EUR 18 million per quarter on this H2 '24. We already had contributions in France, remediation contract and emergency contract. So it is a strong basis for comparison. We already said so during our previous results in last March, we have a strong basis for comparison, therefore, whereas we're expecting more normative activity -- contribution of our service activities for the second half. Next slide, the contribution of the different scopes. We see there's a very positive evolution of most geographical areas outside of Europe. France, 65% of the contributed revenue with an actual figure of EUR 379.9 (sic) [ 378.9 ] million, organic growth of 7%, which is in itself a performance because this growth absorbs most of the negative effect of circular economy activities that are impacted by the drop in energy prices and also the drop in volume of some purification and solvent regeneration activity. In Europe, a slight reduction in growth, EUR 85 million, that is 15% of the contributed revenue, minus 2.7%. It is mainly because of Spain. Valls Quimica in the sectors of purification and regeneration, volumes have gone down, especially for Solarca, for chemical cleanup in Spain and in the world -- in Europe and in the world, working with petrochemical industries where a number of work sites are delayed. In Italy, the second important market for Séché, markets are sound, notably with a good performance of Furia in polluted soil treatment in connection with rehabilitation contracts that are very dynamic in Italy. If you look at Southern Africa, Namibia and South Africa, very strong increase in revenue, plus 15.7%, EUR 51.4 million. That represents 9% of the contributed revenue. Good performance of Rent-A-Drum in Namibia that is doing well in hazardous waste. Same thing for Interwaste and also Spill Tech's performance is to be mentioned in the area of environmental emergencies. Latin America, a very good growth of plus 44%, that increase compares to H1 '24, which was particularly weak. That is related to the implementation of large service contract, global offers in Peru, remediation in Chile. All this gives a very strong impulse to our growth in this area of the world. One word about ECO Singapore, even though it's not part of the scope, EUR 37.1 million, 6% of the contributed revenue of the group. That amount is quite close to H2 '24. If you remember, it also integrates a negative ForEx effect. We're continuing the ramp-up of the new carbon soot incinerator which should be fully -- working at full capacity in '26. If you look in the next slide at the evolution of the business mix, we will see first the circular economy segment down by 4.5%, EUR 162 million. That includes a scope effect, EUR 5.5 million for ECO. Organic growth, minus 7.8%. The main scope impacted here is France. That is impacted by the drop in energy sales price, EUR 4.6 million in terms of negative effect. The only -- we have volume effects that are positive. The price effect is minus EUR 5.1 million, and we will see that in the EBITDA later on. France is also impacted by a drop in some purification and regeneration activities, hence, this performance that is worse than last year. A very strong increase in services, as we already said, with an organic growth of 20.6%, a good activities in hazard management, organic growth of 3.5%, a scope effect that is significant. I'm referring to ECO's activities that contribute to that figure. Those markets are sound in France, plus 2.8% volume and price effects that are positive, especially once again, internationally, you have Peru, South Africa, where you have a growth of 16.3% in connection with the development of hazardous waste management activities. If you look by sector, the different evolutions, the hazardous waste sector is doing very well, 72% of contributed revenue, EUR 416 million, organic growth of 11.7%, quite balanced between France and abroad. France, EUR 257 million, plus 11.9%. This is excellent performance because it even integrates the impact of the disappointment we may have about recovery of materials. It also illustrates a growth of 11.1% abroad because of the good development of our hazardous waste activities. As for non-hazardous waste segment, it's weaker. Growth in total there is only 2%, EUR 163 million in terms of organic growth, minus 1.4%. In France, it is fully impacted by the drop in energy sales price with minus 2.1% in France and modest growth internationally, plus 0.9%, representing the non-hazardous waste activity in Interwaste in South Africa. I'd like to give the floor back to Baptiste for operating performance.
Baptiste Janiaud: Thank you. We can go to next slide, please. We're going to start by EBITDA which goes from -- moves to plus 34%, 16% organic between -- we have an improvement of margin to 20.4%. That is a good performance. When you look by country, we have an EBITDA in France that is organically growing plus 2%, 20% margin, which means that we have good resilience on this market. It shows the ability of that market to improve. We do have some leeway to improve our profitability. The EBITDA margin moves from 22.6%, which corresponds to an extra 2.5%. Regarding the international section, given the scope effect, we have an EBITDA of ECO EUR 15.8 million. The EBITDA margin with 43% for ECO that has an accretive effect on the EBITDA margin of the international section and the group, as Manuel said, on the organic historic scope, we have quite a mixed division globally with an EBITDA that is globally stable underperformance of Spain, Solarca, whilst this having an effect on EBITDA and an overperformance of Chile and Spill Tech in South Africa. Next slide. When you look at the volume and price effect, the usual slide, we note, of course, a very strong dynamic of the volume effect with the contribution of service remediation, emergency France and abroad. In France, price effects are close to 0, but there is no break in the trend. We still have commercial positive effects on our historic scopes, but those effects are offset by the energy price effect that reduces or cancels those positive commercial effects. We have variable expenditures that are growing because of the increase in volumes. And globally, we have payroll expenditures that have a negative impact because they are growing by EUR 16 million. That is also related to growth. I've already told you about the scope effect. Regarding next slide, we see the same trend for the current operating income, both in France with a substantial improvement in operating margin, 2%, 7.2% to 9.2%, up 2 points, which is significant. We also see the dilutive effect of ECO on the international with an operating margin of ECO of 31% allowing to have an international margin of 7%. Slight increase in depreciation provision in France with full year effects on the amortization of development, investment in purification and also leasing contracts in the areas of industrial affluence and sanitation, a slight increase in the customer provision, there is no risk. But given that is related to the method we apply, we have an extra provision. When you look at the P&L, next slide, not much impact between the current operating income and the operating income. Financial income, EUR 20.6 million. As you know, the acquisition of ECO was carried out for a share in the form of debt. The gross debt has, therefore, increased between the end of -- between the first half of '24 and the first half of '25. The increase in financial expense comes from that. We've improved the rate of the funding of the gross -- that gross debt. Regarding corporate income tax, we've reduced the effective rate to 26% versus 36% last year. This comes from the integration of ECO with corporate income tax in Singapore, which is 17%. If you go down in the P&L, you see an increase in minority interest that comes from the net income for minority interest, mainly ECO's minority interest. And as was saying, the net income group share has doubled between H1 '24 and H1 '25. We see a control of industrial investments. We were very cautious last year for EUR 33 million last year. We have a global envelope of EUR 110 million this year, but we have realized only EUR 35.6 million. We're very cautious in this first part of the year. Next slide. As I was saying, all this translates by a lot of generation of free cash. You will note that we have a good management of working capital requirement, resource for this first half '24, EUR 15.7 million. So an operating free cash flow of EUR 63.2 million and a conversion rate of 53%, which is significant. You see on the right-hand side, as I was saying, this free cash flow generation means a reduction of net financial debt end of June '25. Moving to the next slide, improved financial flexibility. You see the liquidity situation, EUR 550.6 million, EUR 333 million of active available treasury invested cash and cash equivalents that today means strong liquidity. As Manuel pointed out, the topping up of our green bonds in July that also improved our liquidity position with overall financial leverage and a balance sheet that remains solid, leverage 2.9x, which is on target. Next slide. I won't go back on the issue achieved extension of debt maturity to 4.6 years. I noted that there are no major maturities over the next few years, not before 3, 4 years. So all that means gives us visibility on our liquidity position that remains extremely solid. Let's move straight to the next slide on the outlook for H2 2025. As I said, we have a business which objectively remains dynamic even if H1 2024 was weak. Operating margins, we expect to see impacted by energy low prices compared to what we'd anticipated. We expect a contribution that will be more normative emergency and remediation business. As you know, those businesses sectors where there can be some upside between now and the end of the year today. In our forecast, we're not factoring in any one-offs that might occur between now and the end of the year. As you know, as we demonstrated in the past few years, we have good business resilience, excluding chemical purification, essentially on hazardous waste management on multiyear service contracts, giving us good visibility in H2. Internationally, we have a situation as we saw in H1 that's contrasted broadly speaking, in Europe, more uncertainty on the part of our clients on CapEx and on their activity, primarily in the chemical sector, which is a major customer base for us. In Latin America, we continue to expect dynamic business with a good level of activity in Chile and Peru, overall greater visibility because there, the momentum in this part of the world is stronger. And therefore, given the contracts that we've garnered there, we expect positive developments in H2. In Southern Africa, good activity from Spill Tech, more complex activity by Interwaste given the exposure of Southern Africa on the tariffs imposed by the United States. And in Asia in H2, we're expecting overall a momentum that will be broadly similar to H1. What we're expecting is the beginning of a ramp-up of the carbon soot incinerator with what was planned with our client was a ramp-up that would start in H1. That didn't occur. It started in H2. And today, volumes are rising. And we're expecting the beginnings of an increase in H2 and an increase in -- it's really just a shift as compared to what we anticipated, and that's, of course, in no way down to the ECO team, still with profitability as we saw that remains significant. On the basis of the operating profitability, circular economy, we're expecting -- our assumption of energy sale price will remain low with a more normative contribution of service activities and internationally, overall, similar to what we saw in H1, a lower performance by Spain. And as I indicated, an improved profitability on par with the size of these areas in the group, be it Asia and Latin America. Financial structure against that backdrop is, of course, a priority. We're going to continue to maintain it very solidly, given the focus on cash flow generation and solid financial structure. CapEx, the EUR 110 million in CapEx, that number will be adjusted if our operating cash flow isn't achieved by the end of the year. We continue to anticipate a high level of free cash flow and financial leverage below 3x, excluding acquisitions. Looking at external or one-off factors that could -- that's on the next slide, liable to impact short-term operating margin growth. We have decrease in energy sale prices, essentially electricity. The electricity price has dropped sharply, and that is having a direct impact on biogas that is turbined and converted into electricity. It has a direct impact on the price of steam that we sell significantly to sellers. This, of course, has a more significant impact on H2 of the energy volumes that will be produced in H2. We saw that we just had a negative price effect on H1. We'll have a negative price and volume impact in H2 with less production of biogas in H2 and less steam output. This is estimated -- the impact in terms of EBITDA is estimated at some EUR 15 million. I'm anticipating a question. It won't be offset by improved energy purchases, even if we're at the -- really at the limits of the group's self-sufficiency because on energy prices, we have a tax hike that's significant. Special contribution to the electricity utilities increasing the taxes on transmission that's included significantly for electricity, impacting notably France on energy purchases. So we won't see a drop in energy purchase prices in H2. Overall, we could expect a reduction in energy prices to be offset by greater momentum in our activities. As we indicated because of the macro context, we're not anticipating a strong rebound in Europe in H2. We're not anticipating either a strong increase in ECO's EBITDA versus last year given the increase of capabilities in carbon soot will be shifted to 2026. So this leads us to a revenue target that is confirmed EUR 1.280 billion, limited increase of EBITDA margins between EUR 250 million, EUR 260 million, a reduction of about EUR 15 million. The electricity price impact indicated, that's 1 point on EBITDA. Outlook for 2026 are subjected to the same trend. Outlook for '25, '26, don't take into account the Flamme deal. To draw your attention to the prudent on the outlook for 2026 because overall, that outlook is at constant scope and will be adjusted at the Investor Day, incorporating de facto the new ECO prospects and those of the Flamme Group if the transaction is authorized by the competition authority. It doesn't, of course, incorporate all the possible synergies as part of those transactions. Moving to the next slide. Just to run through briefly the planned acquisition of Groupe Flamme. This is transaction that is subject to the green light of the antitrust authorities. We're expecting a go ahead by the end of the year. If that -- it's that green light of the competition authorities that will allow us to complete this transaction. We already have the opinion of the staff employee reps that are positive. So we're just waiting on the competition authority now to close this deal. Flamme Groupe is essentially 3 business units. Firstly, hazardous waste management, ARF present across the value chain from collection through incineration. That accounts for about half the revenue, EUR 47 million. ARF is broadly EUR 100 million -- EUR 100 million total AR of 125 employees, essentially 2 incinerators that today, one incinerator authorized at 180,000 tonnes, processing solid waste that is used to some 130,000 tonnes at Vander incinerator authorized 70 processing liquid and gas, some 50 million tonnes. So that's ARF. That's a very significant component for us because it would allow us to have a market share on hazardous waste management in France of some 26%, placing a second after Veolia in hazardous waste management in France. On Flamme Assainissement Sanitation, that's about EUR 24 million in revenue, 9 branches, including one in Belgium, essentially industrial customers, very good fit with our positioning today, about 200 employees pumping, maintenance of industrial facilities, working with clients that we know very well, and we supply them with other services and full suite offering. That's interesting. Flamme Assainissement, that's devoted to environmental services for all types of waste, recyclable ordinary waste. These are multiyear contracts, about EUR 26 million revenue collection and recovery of waste. I'll stop there because we've taken up a lot of time, and we're now available to answer your questions.
Manuel Andersen: [Operator Instructions] I think it was very clear. So first question comes from Arnaud Palliez.
Arnaud Palliez: I hope you can hear me. Baptiste, Manuel, I have a few questions for you. So the first is that, of course, we knew that in terms of contributed revenue organic growth that H1 would benefit from a favorable base effect. I wanted to know if it's in H2, given what you gave by way of outlook that we can expect organic revenue growth close to the midterm rate that you announced, which is 5%. So that's my first question. I'm getting this rather unpleasant feedback in my headset. I can hear myself speak.
Manuel Andersen: We seem to have lost our questioner. Arnaud, are you? Arnaud, can you still hear us?
Arnaud Palliez: Yes. Yes, I can hear you.
Manuel Andersen: So please ask your next question.
Arnaud Palliez: You heard my first question. Yes, because I can hear myself speak. I'm getting the feedback. You noted my first question, which is in H2, can we expect revenue growth of constant scope broadly similar to the midterm guidance of some 5%? Or would we be below that figure? And then I've got questions on the chemical sector, and we see that it's negatively impacted by energy prices, but also volume decreases. I'd also like to know if this is a sector that's generating a higher operating margin than others, which would partly account for the decrease in the EBITDA and current operating income targets.
Manuel Andersen: Have you got any more questions too after that?
Arnaud Palliez: Well, maybe on ECO briefly, what I've understood from what you said is the contract with Linde had been kind of shifted in time. deferred, postponed? And how much does that represent in terms of revenue volume? And in H2, will there be further ECO impact in terms of scope adjustment? And the third point on ECO, could you also give us an update on progress of developments of CDC? Have you kind of looked at possible growth avenues with CDC?
Baptiste Janiaud: Thank you for those questions. So the first question first. Mechanically, we've given you the annual guidance of EUR 1.18 billion, which we have maintained on revenue. You can infer the revenue for H2 '25. So we are expecting a growth that will be lower than the midterm growth. But careful. As you have seen, I don't know whether you remember the slides about quarterly activities. Look at Slide 8, for example, we had an H2 that was extremely strong, whereas H1 was globally weak, especially in the first quarter, regarding the -- for Q4, we have Q4 EUR 319 million, particularly strong. So H2 '24 is the benchmark is very strong and mainly Q4 in '24. De facto, there will be this base effect on Q4 that will penalize the organic growth. As you have seen that in H1, we're slightly above the long-term growth related to the fact that H1 '24 was weaker. I hope I answered your question. Regarding the chemical part, be careful because for us, the chemical part is a very important customer in Europe. That is related to various activities in Séché Group. We have mentioned solvent regeneration and purification, clearly impacted because typically, when large chemical companies are thinking about stopping a kind of output when they're reviewing their output, there is global wait-and-see policies that is impacting that part and also the management -- hazard management, i.e., we also incinerate solvents. Therefore, incineration is also impacted. So you cannot talk of a single margin. In our chemical sectors, globally, we have no significant difference between the margin in the group and the margin in this sector. Yes, you have mentioned Linde. I don't know whether you -- we can say it or not. Linde is our customer for the carbon soot incinerator. ECO had built an incinerator for Linde. Linde has a new kind of production in biofuels that generates carbon soot. And the incineration of carbon soot was subcontracted to ECO with an in-situ incinerator on ECO's premises. So we expected that Linde deliver the carbon soot as of H1. It wasn't the case because in the building on Linde's plant, there were some delays that can happen when you have production. So carbon soot production have started in August. So all of the tests, the ramp-up of an incinerator takes time. The tests were not carried out in H1. They will be done in H2. Globally, we will see a slight improvement versus H2, but the bulk of it which is quite significant. We're talking about 20% of ECO's revenue on a full year basis that will be in 2026. It's not related to ECO. ECO is doing a remarkable job, but we depend on Linde's ability to deliver the volumes as they produce it. Regarding development with CVC, as I indicated, we're looking at the growth of new products. We have expertise for some products. There are things we can duplicate in Singapore. There are real avenues. We've identified those tools will be built in '26. We will tell you more about it when we secure the contracts with the customers. The advantage in Singapore is that we can build an incinerator for carbon soot. They were able to build that on the basis of a contract of 20 plus 20 with Linde. We're securing contracts to be able to carry out development investments on ECO side. I hope I answered your questions.
Manuel Andersen: Yes. ECO was consolidated on July 1 last year. There's nothing to be expected in H2 in terms of Echo's contribution to the scope effect, not to the scope effect. If there is something to be expected, it won't be a scope effect, but it will be organic growth coming from ECO. Jean-Francois Granjon has a question.
Jean-Francois Granjon: Yes. Just one question, please, regarding the international section. You have an organic growth at the international level, which is a good performance. We're talking about organic growth. Nevertheless, you have a margin -- the EBITDA margin is not so high, whereas the scope is constant. So how come the margin is reduced?
Baptiste Janiaud: Very good question. Globally, there are several elements explaining that margin reduction. When you look at Latin America, be it Las Salinas or the major total waste management contracts we've signed in Peru is the beginning of those contracts. It means that we have costs at the initiation that are accounted for as OpEx when we answer those call for tenders. So there is a lot of equipment that is accounted for as OpEx. You won't see that in H2, be it the Las Salinas or total waste management contracts in Peru, we will have a dynamic activity with an improvement. There will be a margin improvement in H2 on that scope. When you look at the activities that have underperformed indicated by Manuel, be it Solarca, be it Valls or to a lesser extent, Interwaste, today, we have the same costs associated with those companies. It is something we are in the process of working on the management of those costs between those periods, the higher periods. There are productivity impact. We will find them also in H2. It will be visibly a bit mixed because you will see costs. But afterwards, that reduction will allow us to have an improvement when we have more activity, for example, in Solarca or Interwaste.
Jean-Francois Granjon: Very clear. If I understand, we can expect a better contribution in terms of margin at the second half.
Baptiste Janiaud: Yes, historically, at the international level for international historic geographical areas, yes, we can improve. We can expect margin improvement.
Manuel Andersen: No more questions for now. [Operator Instructions] We have a question from Eric Blain from Finance Connect.
Eric Blain: Can you hear me?
Manuel Andersen: Yes, we can.
Eric Blain: I wonder about the H1 margin in France reaching quite a good level. You talked about a peak in invoicing. Is that in the emergency sector? Is that what explains part of this margin that is particularly high?
Baptiste Janiaud: Yes, in Q2 in France, we have finalized a number of major contracts. I've described some of them. We've total in terms of revenue about EUR 20 million related to those contracts. Emergency contracts do have quite a substantial margin, which has contributed to France's good margin over the period. So in the second half, maybe we have to be more cautious about France's level of margin. Well, what is acquired for the second half, indeed, regarding our historic markets, services, hazard management on those markets, we have no break in the trend globally. If there's no remediation contract, we will have a marginal improvement of the margin ex energy prices. So it will mainly be related to volumes, yes.
Eric Blain: And do you think that we don't know what can happen in the emergency sector? But to this day, you have no idea of what could happen in this sector.
Baptiste Janiaud: No. In fact, as you said, we cannot predict emergency situation. How do we manage that? We try and be present everywhere. There could be an emergency situation. So our assumptions today should not take into account any major contracts. To this day, we have no new major contract realized. We are on September 10. Typically, the EUR 20 million contract, we didn't know about at the beginning of the year. We didn't know about it during Q1. It did occur and those few weeks of operation have improved our performance in our activities. That is intrinsic to the emergency activity. Today, we haven't made those assumptions.
Eric Blain: So there's no good news related to some bad news because usually, emergency is bad news.
Baptiste Janiaud: Yes, you're right. Typically, this was an emergency remediation we had to do after a fire to work at the level of the table water. Any other questions?
Manuel Andersen: We have no other questions for now. Maybe I can ask you one last time. [Operator Instructions] Otherwise, we always remain available if you have any other questions, you can send them by mail. You will find my mail on the website and on the presentation. Gentlemen, we have no other questions. I don't know whether you want to conclude.
Baptiste Janiaud: Thank you very much. Have a good evening. Thank you for having attended this call, and see you soon.
Manuel Andersen: This concludes today's call. You can all log off. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]